Operator: Good day, ladies and gentlemen, and welcome to the Cameco Corporation First Quarter Conference Call. I would now like to turn the meeting over to Mr. Bob Lillie, Director, Investor Relations. Please go ahead, Mr. Lillie.
Bob Lillie: Thank you, operator, and good afternoon, everyone. Welcome to Cameco's First Quarter Conference Call to discuss the financial results and our latest assessment following the Fukushima accident. Thanks for joining us. With us today are 6 of Cameco's senior executives. They are Jerry Grandey, Chief Executive Officer; Tim Gitzel, President; Kim Goheen, Senior Vice President and CFO; Ken Seitz, Senior Vice President, Marketing and Business Development; Bob Steane, Senior Vice President and Chief Operating Officer; and Grant Isaac, Senior Vice President, Corporate Services. We're also joined by our colleague, Rachelle Girard, Manager, Investor Relations. Jerry will begin with brief comments on the quarter followed by his latest perspective on the industry in the aftermath of Fukushima. Then Ken will -- I'm sorry, Kim will comment on our transition to IFRS, after which we'll open it up for your questions. Today's conference call is open to all members of the investment community, including the media. During the Q&A session, please limit yourself to 2 questions then return to the queue. Please note that this conference call will include forward-looking information, which is based on a number of assumptions and actual results could differ materially. Please refer to our annual information form and MD&A for more information about the factors that could cause these different results and the assumptions we have made. With that, I'll turn it over to Jerry.
Gerald Grandey: Thank you, Bob, and welcome to all who have joined us on our first quarter call. The financial results we reported earlier today are consistent with the guidance we provided in our annual MD&A. This year's deliveries of uranium are heavily weighted to the second half. As you will note in today's reporting, our expectation is that consolidated revenue will be 5% to 10% higher this year, and our revenue from uranium sales will be up 10% to 15% compared to 2010. The slight reduction from earlier guidance on revenue from the Uranium segment is almost entirely a foreign exchange issue. On the operational side, the major difference compared to a year ago was that we moved the annual maintenance at our Key Lake mill to late in the first quarter. In the previous 2 years, the maintenance shutdown has been taken in the second quarter. Reordering Key Lake's maintenance cycle meant the mill was down at the same time the McArthur River mine was taking a short production pause to remove a number of abandoned freeze pipes. With the pipes gone, mining can now be done more efficiently without multiple interruptions to remove them. We expect production at McArthur River/Key Lake to be on target to meet guidance for the year. The same is true for production from our other facilities. At Cigar Lake, we continue to target initial production by mid-2013. We plan to issue an updated technical report on Cigar Lake in the third quarter. The report will include revised estimates for capital costs, a production ramp-up schedule, operating costs plus mineral resource estimates. As you will note, our uranium sales guidance for 2011 is unchanged with our expectation that we will deliver between 31 and 33 million pounds into the market. This sales outlook for the year confirms what we said in a special conference call 3 days after the tragic earthquake and tsunami hit Japan. Setting in motion events at the Fukushima-Daiichi nuclear power complex. We have now had more than 8 weeks to assess and digest the effects of Fukushima on the nuclear industry and on Cameco. As we stated March 14 and we restate now, our initial response was to do all we could to help Tokyo Electric Power and our other Japanese utility customers. Accommodations we will make this year to differ product deliveries to these customers are not material to Cameco, nor do the events at Fukushima represent any material change for Cameco's business in the longer term. For the industry as a whole, our view of a long-term positive future for nuclear power and increasing demand for uranium fuel remains unshaken. Of course, a few disagree, the same strained voices that have always opposed nuclear power have become energized anew and are agitating for an end to our industry. However, from the vantage point of 30 years in the business, I find some remarkable differences in the tone of the current public debate compared to what was being said after Three Mile Island and later, Chernobyl. Three Mile Island and Chernobyl had a long lasting effect on nuclear power's growth and the public acceptance of the technology. Following these events, there were a few leaders in science, academia or government who spoke in favor of nuclear power, or even dared to suggest it had a future in the global energy mix. After all, coal, gas and oil were abundant and could easily supply our energy requirements. There was little public concern over carbon emissions at that time. Now, in the wake of Fukushima, we find the world is a much different place. Energy requirements are growing dramatically, and governments, which are building and planning new nuclear power installations, have, for the most part, refrain from engaging in knee-jerk reactions. Yes, they are commonly talking about a pause to assess both existing and planned nuclear generation facilities. So lessons learned from Fukushima can be understood and applied. But for the most part, they are talking over this period merely being a pause. Academics and opinion leaders have planned to change -- and energy security continue to speak out in favor of nuclear's advantages. So far, the strained voices that oppose nuclear power have had limited effect on shaping public opinion and government policy. A notable exception, of course, is Germany, where weak political leadership has made an illogical and emotional decision to close a number of older nuclear facilities. The contrast between those actions and what Germany's neighbors have decided could not be more pronounced. The leaders of both France and the Czech Republic have taken a calm look at their options and recommitted to their existing plans to expand the role of nuclear. Another neighbor, Poland, is continuing with its plans to join the world of clean nuclear energy. For the most part, the story elsewhere in the world mirrors this commoner, rational reaction. So why are countries determined to push ahead? The reason is that the world of energy supply is not such a simple place. Part of the story is economic growth. Most of it happening in countries that are also experiencing a rapid rate of urbanization. Look at China, where demographers project that more than 70% of the projected 1.6 billion people living there at the time will be living in cities by 2030. One estimate is that there will be more than 220 cities of at least 1 million people in China by that time. China's nuclear construction program is still expected, post Fukushima, to increase the country's total nuclear generation by at least sixfold by 2020. This unprecedented urbanization and demand for power is not just happening in China. The same holds true for other rapidly developing countries, such as India, Vietnam, Brazil and Turkey. These leaders have reiterated their desire to pursue a nuclear development to accommodate sustained and rapid economic growth and to diversify energy supply. But unlike the situation that existed 25 years ago, choices about which energy sources to use are no longer cut dry. If the choice were merely to pick an energy source that can provide large-scale baseload electrical power, then coal would carry today as it did previously. But factor in the imperative to have clean air sources of generation, and the policy equation changes in a hurry. What is clear to energy planners and governments is that today's third-generation nuclear designs provide the safe technology for clean, large-scale power from politically secure sources of fuel. The expectation is that most new nuclear plants already in the planning process will proceed, even if the current pause pushes some decisions farther into the future. Prior to Fukushima, we expect that there would be 131 new reactors operating globally by 2020. Today, we expect there will be at least 121 new reactors constructed and operational. Taking into account the reactors that will have reached the end of their life, we see the net gain for the world reactor fleet in 2020 being 91. Prior to Fukushima, we saw that net gain to be just above 100. Either way you express it, our projection of global reactor numbers has been reduced by just 10 in our outlook for 2020. From a fuel supplier perspective, we expect this change in outlook will reduce the cumulative demand for uranium over the next 10 years by just 4%. It remains true then that new uranium supply will have to be brought into production to meet this demand. Thus, our reading of the Fukushima adjust the fundamentals of the Uranium business leads to one conclusion for Cameco: very little has changed in the way we see the world. Our strategy of doubling uranium production by 2018 continues to make sense. Our assets in our existing operations and within our development pipeline are among the best in the world. Cameco is extremely well-positioned to continue being a world-leading supplier to a growing global nuclear industry. Now before I ask the operator to open up the lines for questions, our Chief Financial Officer, Kim Goheen, has an update, as we report our financials this quarter for the first time presented under the International Financial Reporting standards. Kim?
O. Goheen: Thank you, Jerry. First quarter of 2011 marks our first reporting period under International Financial Reporting Standards, or IFRS. We have recapped our financial results for 2010 in accordance with the IFRS for comparative purposes. As you may remember from our workshop last December, the transition to IFRS has resulted in several changes that impact our financial reporting. However, you will notice the transition has had relatively little impact on net earnings compared to what we previously reported under Canadian GAAP. The presentation and terminology used in our interim financial statements in the first quarter MD&A differed somewhat from that used in previous years. I recommend that you review the information presented in our current MD&A, starting on Page 27, and our financial statements. Note 3 to the statements provides background and numbers on the differences relative to amounts reported under Canadian GAAP last year. Information is also provided on the Investor Relations section of our website under the heading IFRS Transition. Please contact us with any questions or requests that you may have. Going forward, our results will be reported under IFRS, including comparisons to 2010. We will no longer comment on Canadian GAAP net earnings for last year, although that information is available in our 2010 annual MD&A.
Gerald Grandey: Thank you, Kim. Operator, it's now time to open up the phone lines to questions.
Operator: [Operator Instructions] The first question is from Orest Wowkodaw from Canaccord Genuity.
Orest Wowkodaw - Canaccord Genuity: The question revolves around the spot market. Wondering if you could disclose to us how active Cameco has been purchasing material in the spot market post the Japan incident and if you could give us some volume indications, that would be very helpful.
Gerald Grandey: First, probably not volume indications. We try to keep that a little bit closed. But a short answer to it, we did engage in a little bit of volume just to really judge the depth of selling, the depth of the panic, those kinds of things. And it's something we continue to watch. And like we do every year, we've got the ability to intervene when we think it provides more information or might make a difference.
Orest Wowkodaw - Canaccord Genuity: So would it be more than usual type of purchasing or kind of your regular plan?
Gerald Grandey: No. I describe it as more regular.
Orest Wowkodaw - Canaccord Genuity: Okay. And that per year, I think your regular buying is around sort of 3, 4 million pounds?
Gerald Grandey: Anywhere between 1 and 3.
Orest Wowkodaw - Canaccord Genuity: Yes, okay.
Operator: The next question is from Terence Ortslan from TSO & Associates.
Terence Ortslan - TSO and Associates: It's Terry Ortslan. Actually, again, a broad question just back to in the aftermath and people actually assessing the situation. Coming back to China and India, any, I mean, you're obviously more in contact directly with them than anyone of us in terms of understanding the psychology and their concern and the level of the changes of possibility. China and India or what would you be able to be transparent for us in the interim, number one? And number two, have you changed any numbers at the expectation on China? And what are the numbers for China to be able to observe from the market this year?
Gerald Grandey: I've got it all. We haven't really changed numbers for either one. As we've indicated, there may be, as both countries have indicated, a slight pause in approving new reactors. We were in India indeed, when the Fukushima event happened, and we've had some communication with them. They seem to be moving forward, again, deliberately. Tim, actually, was in China about 1 or 2 weeks later, after Fukushima.
Timothy Gitzel: One week.
Gerald Grandey: Like to comment on that, Tim, just the receptivity you had in their plans?
Timothy Gitzel: Indeed. We were over, and Ken Seitz with me as well. We took a trip over to China to meet with them to discuss business, but to also judge the reaction of the Fukushima events. And obviously, they have the same reaction of regret for the Japanese people. But after that, we talked about their program going forward. And clearly, they're still committed to nuclear. The units that they have under constructions, some 26 or 27, will continue. And they plan to continue, as well, with the planned units after a positive full review of those units as well. So we were very comfortable with their response, and I can say that they are staying the course.
Gerald Grandey: Did we get it all, Terry, or was there some other...
Terence Ortslan - TSO and Associates: Actually, there were some. Maybe it was a knee-jerk reaction immediately afterwards by the Chinese saying that they will be looking into the design or redesign process given the circumstances in Japan. What does that mean, number one? Number two, I haven't seen much from the Indian side with their aspirations. And the -- also, the reassessment of their profile?
Gerald Grandey: Yes. I think every country, India, China, no exception, that they will look at lessons coming out of Fukushima, both with respect to plants that are operating and with respect to plants that they intend to build. From what we can tell thus far that, particularly for the newer design plants, which of course, most of them in China and most of the one's in India, there's not going to be any dramatic effect. But they are prudently saying they're going to have to understand the lessons before they move forward.
Terence Ortslan - TSO and Associates: Okay. Jerry, is this your last conference call?
Gerald Grandey: Yes, Terry, it is.
Operator: The next question is from Ralph Profiti from Crédit Suisse.
Ralph Profiti - Crédit Suisse AG: Another one with respect to the market. Jerry or Ken, if he wants to chime in. Just trying to assess the impact of hedge funds. What's your assessment of their sort of responsibility for some of the inventory liquidation and their impact on the prices? And what's your current assessment of their current holdings and do you expect them to say, in the short or medium term, provide any type of overhang or suppression in the price activity that we're seeing?
Gerald Grandey: Good, Ralph. I'll have ken can handle that one.
Kenneth Seitz: Sure. Well, with respect to material that's been falling in and out of the market, it's actually been relatively quiet post Fukushima. Of course, we saw the price drop in the spot market, but not nearly to the level that some had expected. And then it's flattened out in around that $50 to $5 market. And we have seen a lot of volume trading in the past month. And so our hedge fund's putting material into the market, not today. With respect to the overhang, it's the similar overhang that has been pre-Fukushima, without a question. Hedge funds continue to hold an excess of 20 million pounds of uranium. But given where prices are at today, we don't expect that there's going to be a rational dumping of uranium into the spot market by the hedge funds. So today, it's small volumes changing hands as people wait and see what prices are going to do here. But we don't expect a lot of material coming into the market from the hedge funds.
Ralph Profiti - Crédit Suisse AG: I see. Great.
Operator: The next question is from Eileen although from Aleem Ladak from Desjardins Securities.
Aleem Ladak - Desjardins: My question's already discussed earlier in earlier question.
Operator: The next question is from Oscar Cabrera from Bank of America Merrill Lynch.
Oscar Cabrera - BofA Merrill Lynch: Jerry, now with respect to your comment in terms of sales for the year, you said that -- could you put a little bit more context in terms of why is it that you expect weaker sales in the second quarter? And sort of like 1/3 of the 32 I think, is the midpoint million pounds on the fourth quarter. Can you put a little bit more context or color on that please?
Gerald Grandey: As we've tried to communicate, I think, year after year, Oscar, the delivery pattern is really established by our utility customers. So going into a year and through the year, we'll get notices from utilities as to when they want to take their product. And utilities have typically, over the long-term, I've been in the industry trying to push it all up to the end of the year so that they're not holding inventory for longer than they'd like to. This particular year, the notices lined up in a way that the second quarter is going to be weak. And most, well, a good majority of the deliveries are going to be in the second half, and that will be tilted as well toward the fourth quarter.
Oscar Cabrera - BofA Merrill Lynch: That helps a lot. And the other one is just on your comments in as far as nuclear reactors. Could you please repeat that number for China for the decade? You said 90, you expected 100 over 100, now 91. How many are those are of China? [ :p id="379158" name="Gerald Grandey" /> How many of those are in China? I think we're still looking at in total about 60 to 70 gigawatts in China. So probably a total of the new for around 40, I suppose, 40 to 50. Staying on the size of the units, 50, Ken's flashing at me. 5, I'm guessing 50.
Oscar Cabrera - BofA Merrill Lynch: Okay.
Operator: The next question is from Anthony Young from Dahlman Rose.
Anthony Young - Dahlman Rose & Company, LLC: Just an industry question on the marginal costs of production. I mean, I know you guys are well below those levels. But when you think about the top 10%, to 15% of the cost curve, where do you think that cost is for those guys?
Gerald Grandey: Every time we answer that question, it's such a function of where the U.S. dollar ends up. But I think this is a commodity that is priced in U.S. dollars but very little of it is produced in the U.S., as we know. But, long-term prices, we still see in the $60, $80 a pound range, as required to encourage the investment to bring on the pounds needed to satisfy demand.
Anthony Young - Dahlman Rose & Company, LLC: Okay. And then just on the permitting side of things, since the incident in Japan, have you seen regulators become more difficult or hawkish, if you will, with regard to looking at permits for new mines and so forth?
Gerald Grandey: I would say generally not. The regulator in Canada asked all operators, mines and power plants to go back and look at the lessons coming out of Fukushima and ask ourselves the questions, more fundamental questions, about the loss of off-site, on-site power for an extended period of time. We're going to do that at all of our operations, and we haven't seen similar questions in other jurisdictions yet. But prudency would say that everyone of us should take a look at lessons coming out of Fukushima.
Anthony Young - Dahlman Rose & Company, LLC: Okay.
Operator: [Operator Instructions] The next question is from Greg Barnes from TD Securities.
Greg Barnes - TD Newcrest Capital Inc.: I guess, this is a question for Jerry or Ken. But the previous question about the marginal cost of production $60 to $80 a pound I think was your answer, Jerry. But what about near term and the term price quoted by UX [ph] for tradetech [ph] is around $70, where do you see -- how do you see that developing over the next little while with this pause going on in the nuclear market?
Gerald Grandey: Ken, you want to give that a try?
Kenneth Seitz: Yes, absolutely. So a couple of things obviously, Greg. Actually, one is we have a spread between the spot in the term price at the moment. So we expect that spread will narrow as some seek to exploit that difference. So spot price moved, term price moved, one is going to move. But today, we see that over the next 6 months, we will have some traditional RFQs coming from customers as requirements open up certainly, '12, '13 and beyond. And so with respect to the term price, we're looking at it as holding around these levels. It's the recognition that, as Jerry said at the outset, more uranium is required. And so some term prices along the lines of what we're seeing are going to be required here. So spot price volatility, absolutely, but we expect that the term price will continue to hold.
Greg Barnes - TD Newcrest Capital Inc.: Good. Just my second question on Inkai. You've got the permit to go to 3.9 million pounds. I think that's 100% basis. When do you anticipate getting the permit to go to 5.2 million pounds? I think it's this year. But I'm just wondering when.
Gerald Grandey: Greg, you're right, it's 100% basis. And I think we're making good progress, and we'd expect it within the year.
Greg Barnes - TD Newcrest Capital Inc.: Within this calendar year?
Gerald Grandey: In this calendar year.
Operator: [Operator Instructions] This will conclude the questions from the telephone lines. I would now like to turn the meeting back over to Mr. Jerry Grandey for his closing remarks.
Gerald Grandey: Well, I think you guys are letting us off pretty easy. Thank you very much, operator. So I indicated I would have a few concluding remarks. And I'd just will take a moment to again thank everybody for joining us and just say one thing about Cameco's position within the industry, particularly for the perspective of one who has been privileged to lead this company for now 8.5 years, winding down a career of over 30 years, it's been in the nuclear industry. I've seen and I continue to see Cameco's ability to weather with really great resiliency the challenges that come our way. Earlier, I mentioned our world-leading production facilities, the quality of the projects we have in development, all of them underpinned by our low cost base of reserves and resources. And what is not mentioned nearly enough is the quality of our people and their drive to succeed no matter what the challenges. So in the months and years ahead under the able leadership of my successor, Tim Gitzel, together with the rest of the executive team, the ability of Cameco to stick to our strategy and prevail will remain. Certainly, these are interesting times for our industry, but such circumstances present great opportunity. So many of you who have joined us on the call today have become friends or at least very familiar voices to me. I've looked forward to these calls, your questions and I certainly appreciated your ongoing interest in Cameco. For that and for your support, I thank you, wish you all very well a good day and a great weekend. Thank you again very much.
Operator: Thank you. The Cameco Corporation First Quarter Results Conference Call has now ended. Please disconnect your lines at this time. We thank you for your participation, and have a great day.